Operator: Good morning, and welcome to the Peabody Fourth Quarter 2023 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded.  I would now like to turn the conference over to Karla Kimrey, Vice President of Investor Relations. Please go ahead.
Karla Kimrey : Good morning, and thanks for joining Peabody's earnings call for the fourth quarter and full year of 2023. With me today are President and CEO, Jim Grech; CFO, Mark Spurbeck; and our Chief Marketing Officer, Malcolm Roberts. Within the earnings release, you will find our statement on forward-looking information as well as a reconciliation of non-GAAP financial measures. We encourage you to consider the risk factors referenced there, along with our public filings with the SEC. I'll now turn the call over to Jim.
Jim Grech : Thanks, Karla, and good morning, everyone. For the full year 2023, our operations performed as expected, delivering another year of strong results, allowing us to further enhance shareholder value. We prefunded our long-term mine closure and reclamation obligations and implemented a robust shareholder return plan, which resulted in reducing our shares outstanding by over 11%.  We also continued to strategically reinvest in our met portfolio through our Centurion development project, the pending acquisition of a large portion of the Wards Well reserved adjacent to the project and the purchase of the new longwall kits at our Shoal Creek and Metropolitan operations. In the fourth quarter of 2023, we produced strong results despite a non-Peabody-related train development on the mainline in Australia that interrupted some deliveries in December. We continue to advance development of our Centurion premium hard coking coal project and successfully put the new longwall at Shoal Creek into production ahead of schedule. Given the March Mine fire at Shoal Creek, this was an incredible achievement that would not have been possible without the efforts of our dedicated employees working close coordination with MSHA. Before I expand on the markets, I want to thank our global employees for their continued focus and commitment to working safely and efficiently. Coming off our annual global injury rate in company history last year, this year, we achieved our second best annual global injury rate and a record low injury rate in Australia for a calendar year.  Our Wilpinjong mine celebrated 2 years with no lost time incidents. Our 20-mile mine win the Sentinels of Safety Award for the second year in a row, recognizing the mine as the safest underground mine in the U.S. Now turning to the global coal markets. Seaborne thermal coal markets were range-bound during the quarter. Elevated cold natural gas inventories in the Northern Hemisphere have continued to weigh on demand for high-energy thermal coal, coupled with an increased supply from the East Coast of Australia, resulting in Newcastle coal trading within a range of $120 to $150 a ton.  Asian thermal coal imports continue to grow with China reporting that thermal coal imports totaled 354 million metric tons for 2023, increasing by 62% compared with the year ago level and were by far the largest contributor to Asian import growth. In contrast, Japan and Korea are on track to record mild decreases in imports for 2023. Within the Seaborne Metallurgical coal market, the volatility would characterize the first 9 months of 2023 continued during the balance of the year. The steel sector outside of China showed growth in crude steel output during the 3 months ended December 31, 2023, led mainly by India and its ongoing strong economic expansion. Total crude steel output during the period, however, contracted because of a sharp decline in Chinese production, where steel producers reported thin margins and slower domestic demand. Premium hard coking coal indices finished the quarter marginally lower, around $323 a ton. The outlook for the Metallurgical coal market remains positive with seaborne supply remaining below historical levels, combining with strong Indian purchase interest and new import demand for steelmaking coal within Southeast Asia. In comparison, PCI and semi-soft coking coals observed more substantial price reductions. In United States, electricity generation from thermal coal has declined year-on-year due to low gas prices and the impacts of renewable generation. The near-term demand outlook is anticipated to be challenged by comparatively high generator inventories as we transition into the post winter shoulder season. Renewables continue to grow as part of the energy mix. However, we have seen several of our customers delay the retirement of some of their plants in order to ensure grid reliability. Now moving on to our operating segments. Our seaborne thermal fourth quarter coal volumes came in at 3.7 million tons, which was lower than anticipated, primarily due to a trained development on the main language serves our Wilpinjong mine. The development occurred on December 6 and impacted shipments for 10 days. Segment costs per ton were at the high end of our range due to the lower shipments.  Our Seaborne met segment shipments were 2.1 million tons in the quarter, in line with expectations, while total segment costs were better than anticipated at $108 per ton. In December, we were able to successfully commence new long-haul production at Shoal Creek in the newly developed L panel district ahead of schedule. In the PRB shipments of 23.6 million tons were better than anticipated. This quarter, Peabody increased our production share of the total PRB shipments from 39% in the third quarter to 43% in the fourth quarter.  In other U.S. thermal shipments were 3.7 million tons, slightly below our expectations as we had a few customers reduce their demand due to high inventories and natural gas pricing. Outside of our active operations, we continue to make progress at the Centurion mine, our key Metallurgical coal growth project. In December, we renamed North Goonyella as a Centurion mine, signifying a new chapter in our operations. The Centurion complex will include the former North Goonyella mine, along with the new Wards Well deposit, which is adjacent to our existing property. We anticipate closing on the Wards Well transaction in the second quarter.  At site, we continue to advance on initiatives to support the commencement of development coal in April, including installation of a new conveyor system and the commissioning of equipment for underground development. We're also making progress with building out the workforce as we welcome our first group of permanent underground workers. We will continue to onboard additional underground operators and maintenance staff to support scaling up of development. We continue to expect our first sales of development coal in the second half of 2024 and longwall coal in 2026. We entered the new year with a diverse platform that gives us the stability and consistency to deliver results, allowing us to return cash to shareholders and advance major projects as we re-weight our portfolio to more seaborne coal.  As we look forward to 2024, we are focused on executing our strategy by continuing to deliver consistent, predictable and reliable performance from our operations. Advancing Centurion, our Tier 1 premium hard coking coal development project and delivering value to our shareholders through our previously announced shareholder return program. I'll now turn it over to Mark to cover the financial details.
Mark Spurbeck : Thanks, Jim. In the fourth quarter, we recorded net income attributable to common stockholders of $192 million or $1.33 per diluted share and adjusted EBITDA of $345 million. For the full year, we recorded net income of $760 million or $5 per diluted share and adjusted EBITDA of $1.4 billion. The company generated $1.1 billion of operating cash flow from continuing operations. and $724 million of available free cash flow. Based on these results, we have announced the return of $471 million to shareholders, primarily through share buybacks. Through December 31st, we have repurchased $16.1 million shares better than 11% of shares outstanding and have $80 million more to deploy in the first quarter. Turning now to segment results. In the fourth quarter, Seaborne Thermal recorded $100 million of adjusted EBITDA. Tons shipped were less than anticipated, primarily due to a rail issue in the mainline, which limited Wilen Young shipments and moved costs toward the higher end of guidance. For the full year, the Seaborne Thermal segment reported $577 million of adjusted EBITDA. Export shipments increased to 10 million tons, and the segment achieved adjusted EBITDA margins of 43%. The Seaborne Metallurgical segment generated $166 million of adjusted EBITDA in the fourth quarter, more than double the prior quarter's result as both shipments and realized prices were substantially higher. Cost of $108 per ton were below the low end of guidance at Shoal Creek achieved a great earlier-than-expected start of the new longwall in the L Panel district.  For the full year, the Seaborne Metallurgical segment reported $438 million of adjusted EBITDA. Shipments increased to 6.9 million tons despite a tough transition year at Shoal Creek. The segment achieved adjusted EBITDA margins of 34%, a favorable result considering our average realized price was $55 per ton lower than last year as a result of weaker PCI coal prices. The PRB mines shipped 23.6 million tons, our highest quarterly volume since 2019, a testament to our team's full recovery from the midyear tornado disruption, putting themselves in a position to seize an opportunity to load additional trains. Higher shipments were partially offset by additional repairs and other costs, resulting in $38 million of adjusted EBITDA for the quarter.  For the full year, adjusted EBITDA was $154 million, more than double last year, as we continue to benefit from the sales book we built during 2021 and 2022 where we favored longer-term contracts with improved pricing over shorter-term contracts at spot pricing levels.  Year-over-year, our PRB average realized price increased $0.85 per ton or nearly 7%. And over the last 2 years, our PRB average realized price is up 25%. The other U.S. thermal mines delivered $42 million of adjusted EBITDA in the fourth quarter. Production was impacted by the planned longwall move at 20 miles and lower volumes from certain customers reduced shipments below guidance.  However, we benefited from a substantial increase in the average realized price to $57 per ton due to buyouts and compensation payments from these customers. As a result, segment EBITDA exceeded implied guidance. For the full year, adjusted EBITDA was $208 million, and we achieved segment adjusted EBITDA margins of 23%. Together, the U.S. thermal mines produced $361 million of adjusted EBITDA in 2023, an increase of $51 million over the previous year. Looking ahead to 2024, we expect another year of consistent operating and financial results. More thermal volumes are expected to be very similar to 2023. However, we anticipate benefiting from a higher proportion of Newcastle spec product due to mine sequencing at the Wambo Open-Cut Mine. Shipments are anticipated to be 15 million to 16 million tons, including 10 million export tons and costs are projected to be consistent with 2023 levels at $45 to $50 per ton. Seaborne metallurgical volumes are projected to increase by 1 million tons to $8 million, primarily due to a full year of production from the newly installed longwall at Shoal Creek. Segment costs are expected to improve to $110 to $120 per ton. In the PRB, we are forecasting shipments of 80 million to 87 million tons, and we have 85 million tons priced at $13.70. Costs are expected to remain mostly flat with 2023 levels at $11.75 to $12.5 per ton. Other U.S. thermal volume is expected to be 15 million tons, down slightly from 2023 as we transition from the El Segundo to Lee Ranch reserves out west. We have 15.2 million tons priced at $53.70 and expect costs in the range of $41 to $45 per ton, largely consistent with last year. Total capital expenditures are estimated at $375 million, including $235 million of project capital, primarily for the continued development of Centurion and sustaining capital of $140 million.  Additionally, we expect to close the previously announced acquisition of the Wards Well coal deposit. Specifically for the first quarter, Seaborne thermal volumes are expected to be 3.9 million tons, including 2.5 million export tons as we ramp up from the Wambo underground longwall move from the fourth quarter of last year.  Cost per ton are expected to be consistent with prior quarter at $48 to $53 per ton. Seaborne metallurgical volumes are expected to be lower than ratable at 1.4 million tons, with costs temporarily elevated at $130 to $140 per ton, primarily due to a longwall move at Metropolitan and mine sequencing at the CMJV.  We also continue to monitor the Demopolous lock situation, a lack under repair that has the potential to temporarily increase transportation cost at Shoal Creek, but we don't anticipate a financial impact to first quarter results. We expect to ship 21 million tons of PRB coal in the quarter, with costs largely consistent with the prior quarter and $11.75 to $12.50 per ton. Other U.S. thermal coal shipments are expected to be in line with the prior quarter at 3.6 million tons, while costs improved to $41 to $45 per ton. In summary, Peabody delivered another year of consistently strong results and generated substantial EBITDA and most importantly, free cash flow. Peabody's diversified portfolio of mines is uniquely positioned, having generated approximately 40% of adjusted EBITDA from the Seaborne metallurgical segment, 40% from the Seaborne Thermal segment. and 20% from the U.S. thermal segments over the last 2 years.  After repaying the last of our secured debt in 2022, last year, we prefunded all future mine closure and reclamation obligations, further enhancing the company's financial strength and flexibility. With our financial and environmental liabilities addressed, we reinstated a robust shareholder return program and announced the return of $471 million to our shareholders based on 2023 results. Last month, we announced a new $320 million revolving credit facility, further enhancing the company's financial resiliency during the development period at Centurion. We anticipate achieving our goal of further waiting Peabody's long-term cash flow towards premium hard coking coal when longwall production begins in 2026. We remain focused on creating shareholder value operating safe and efficient mines, maximizing free cash flow and shareholder returns and continuing development of Centurion, all while maintaining our financial strength. Operator, I'd now like to turn the call over for questions.
Operator: [Operator Instructions] And our first question comes from Lucas Pipes of B. Riley Securities.
Lucas Pipes: My first question is on the met coal guidance for 2024. Nice outlook there. And twofold question. First, would you be able to provide a breakdown of the quality of met coal at the midpoint, call it 8 million tons? And then how many development tons from Centurion would be included in that guide?
Mark Spurbeck: Lucas. Yes, we're real pleased with the 8 million tons for the full year 2024, really stepping up 1 million tons and really based on good production from Shoal Creek. As you're aware, we have a little bit of development coal we expect Centurion. While we'll be getting that coal and building inventories, probably sales will be light closer to 100 -- 150,000 tons. When we look at the total over the portfolio, we're probably looking at about 4 million tons of PCI and 1.5 million high-vol product primarily from Shoal Creek.
Lucas Pipes: The balance. Maybe I didn't catch it all.
Mark Spurbeck: Yes. The rest of that is Metropolitan. Got it, which is kind of a semi-hard coking coal.
Lucas Pipes: What would be the best index for Metropolitan?
Mark Spurbeck: I mean, we continue to look at the whole portfolio and achieving that off of a premium hard coking coal at 65% to 70%. But Malcolm, maybe you want to address the relativities of those products.
Malcolm Roberts : Yes. Look, we don't list impendently each of our assumed relativities, but Metro is clearly priced against prime low vol hard coking coal at a small discount to that.
Lucas Pipes: Very helpful. I appreciate that. Then kind of staying on the met coal side. For Centurion, could you remind us of the CapEx budget, the total CapEx budget has that evolved? Is that under review? And kind of looking out to 2025 and beyond, what would be left in terms of capital expenditures at the end of this year?
Mark Spurbeck: Yes, Luca. I'll break that down. So as we previously announced, the North Goonyella historical legacy portion of Centurion and it's a total CapEx of $489 million. $125 million of that has been spent as of 12/31. We have in the budget of $150 million for 2024. And that would leave about $200 million for 2025 for the North Goonyella side. Now the Wards Well piece. We look to close that here in the second quarter of this year. We do have $50 million of capital development for the words well portion of Centurion in 2024. We haven't come up with a full project CapEx beyond that. We're still in the process of developing an integrated mine plan, and we'll provide that guidance at a later date.
Jim Grech: And Lucas, I'd like to add to that, that CapEx, the portions of it that are associated with equipment and conveyors and so on and miners has pretty much been spent -- ordered and those costs are known. A large part of what Mark is talking about is the development cost which get capitalized until we get into production. So as far as equipment and being exposed to inflationary pressures, we feel that that's pretty much behind us. and we feel pretty good about those capital numbers because, again, it's mainly associated with development going forward.
Lucas Pipes: Very helpful. I'll squeeze one last theme, and it's around your balance sheet and capital returns. So kind of a 3-pronged question. I'll try to be brief. But -- congratulations on the revolver. How does that fit into kind of your capital structure going forward? Does that unlock additional capital return opportunities? And related, how do you think about kind of cash on your balance sheet today? Is that the right level going forward, again, it kind of ties into the revolver, of course? And then how should we think about net interest income or expense given that cash balance? I would appreciate your thoughts on this.
Mark Spurbeck: Yes. All right. So you stuck kind of 3 questions in there and the last one, Lucas. Happy to answer those questions, though. And I'll start and just remind everything we've done from a balance sheet perspective over the last 2 years has addressed the evolving capital markets for our industry, which operates with above-average volatility in both demand and market pricing. We will not risk the company's financial strength. And we took an opportunity to solidify our financial resiliency, pretty inevitable dips in the market with this new revolving credit facility. We think that was particularly prudent during the development phase of Centurion, our premium Seaborne metallurgical coal growth engine. The revolving credit facility does provide an attractive opportunity to utilize it for letters of credit for surety and other commercial requirements, something that we would be particularly comfortable doing on a Tier 1 met coal mine with a 20-plus year life. I will add that Moody's did take note, bumped our rating up a notch. And while this financial strength comes at a cost of additional liquidity, we continue to benefit from lower surety bonding fees, lower FX hedging costs as well as lower D&O premium. So there is a net benefit there in addition to the interest income that you've mentioned -- we get a safe treasury like yields. So at today's market, probably 4.5% to 5% is a good market to use on those cash balances.
Operator: The next question comes from Katja Jancic of BMO Capital Markets.
Katja Jancic : First, just to confirm, you expect Shoal Creek to add 1.5 million tons this year?
Mark Spurbeck: Yes. We haven't provided guidance on an initial mine level, but that's in the right ballpark. We had a really good start to the quarter. We probably think production is probably in that ballpark.
Katja Jancic : And can you just remind us what is the production capacity at Shoal Creek at this point, the max?
Mark Spurbeck: That mine has done more than 1.5 historically. But given where we're at in the mine geological conditions, we're comfortable with those levels.
Katja Jancic : Okay. And then just quickly, you -- the major project CapEx at $235 million. And I think you mentioned the Centurion is about $150 million. Can you talk a bit about what the rest that is -- what are some of the other projects included in that?
Mark Spurbeck: Yes. There's $150 million for the North Goonyella portion of Centurion. There's about $50 million for the Wards Well portion of that, assuming we get that closed in the second quarter. There's also probably $15 million, $20 million at the Wambo Open-Cut joint venture that -- that we're -- that's run by Glencore.
Operator: The next question comes from Nathan Martin of Benchmark.
Nathan Martin : We will start on the seaborne thermal side, guiding to 9 million to 11 million tons of exports there. What's the approximate production split between the high-quality tons, you get the Newcastle like pricing and then the higher ash, lower-quality product that prices of API to? I know you guys mentioned in your release, the split is roughly even on the unpriced tons, but just specifically wondering on production between Guam and open on this year, I think, Mark, you might have mentioned some positive sequencing along the lines there. And then, how do you guys see going forward, the overall production levels and quality splits of that segment changing over the next several years just given some of the extension projects, I believe you've talked about you're working on?
Mark Spurbeck: I'll take that first question. And you're right, there's some better Newcastle spec product this year on an overall portfolio basis, just given the mine sequencing at the open cut, probably looking somewhere in the neighborhood of 4.5 million to 5 million tons of Newcastle spec product, which as you know, our export tons. Go ahead.
Nathan Martin : Great. [indiscernible] I just had any thoughts on how the splits and the production levels in that segment trend over the next couple of years just given some of the projects that looks like you guys are working on?
Mark Spurbeck: So we haven't given any guidance beyond '24. I will say that, that outlook is fairly stable for the next several years. there are extension projects that are under study. We haven't announced anything. But as we get further down the road and complete those studies, we'll be updating the market.
Nathan Martin : Okay. Got it. Maybe over to the met segment quickly, forecasting a quarter-over-quarter drop there in shipments, I think, to $1.4 million from $2.1 million in the fourth quarter. maybe get a little more color on that expected decline? Is it vessel timing? Is it something else? I know, Mark, you mentioned you're keeping eye on the lock outage in Demopolis as well. So any additional thoughts there? Maybe are you investigating any transportation alternatives that, that continues? And then on the cost per ton side, I'm assuming for expected shipments driving that range higher for the first quarter versus the full year range. But any thoughts on maybe how you expect both those items segment shipments and cost to trend throughout the year? Any other longwall moves or so to flag? I think you flagged one in the first quarter.
Mark Spurbeck: Yes. I'll start with the volumes, just address the first quarter. Some of that was covered in my remarks. This is typical, or I should say, we've had -- we've experienced the last couple of years. Really, there's a longwall move at Metro that's bringing down some first quarter volumes. And then there's just typical mine sequencing at the CMJV. It did have an absolutely fantastic fourth quarter. But just where they're at in the mines in the pit, there will be lower production coming in the first quarter. So it is less than ratable, similar to last year circumstances. It will increase as we go throughout the year to make up that full balance. And then, Jim, do you want to cover the lock issue?
Jim Grech: Yes. Nate, with the lock issue, the timing that we have -- that industry has from the Army Core engineers is for the locks to be back in service sometime in mid-May, that's their current estimate. And so in the interim, we've made alternate transportation routes. We've got 2 different ones. One is all barge and another one is barge and rail that we're putting in place to keep the coal moving. We don't see that impacting our first quarter volumes or our full year volumes for Shoal Creek sales volumes. We do think there may be a dip in the second quarter depending when that lot gets back in place. with the sales tons in the second quarter. But again, it won't affect the full year sales numbers for Shoal Creek.
Nathan Martin : Very helpful color, guys. And then maybe just one more. Looking at the U.S. thermal business, you flagged how low nat gas prices, high stockpiles are weighing on demand. They did a couple of contract buyouts, I think. So – if I look at PRB in particular, a fantastic year for you guys from that segment, guiding to sales that are maybe only down 1 million or 2 tons, I think, at the midpoint year-over-year. Obviously, you’ve already contracted 85 million tons there as well. So maybe can you talk about how conversations have gone are going with your utility partners out there, whether or not you feel like there could be pressure on that number eventually just given the current market dynamics we’re seeing?
Malcolm Roberts : Yes. It’s Mal. I’ll take that one. Look, we’re very comfortable with the way that we sold and the level that we’re sold to. I think in terms of the market this year, we might see the generators going to the spot market to a lesser degree than they have in previous years, but we’re pretty comfortable with our contracted level and getting that delivered.
Operator: The next question comes from Chris LaFemina of Jefferies.
Chris LaFemina : So just actually a couple of questions around the met coal business and around capital allocation. So you have the ramp-up of North Goonyella, which I assume is going to be premium low-vol product that gets benchmark pricing. Is that accurate?
Malcolm Roberts : Absolutely. In my opinion, a lot of people's opinion is this is the supreme coal, lead top level coal and most likely at the top level or at a premium.
Chris LaFemina : And is that true over the reserve life of the asset? Or does the quality degree over time?
Jim Grech: That's very true of the hold off of the asset. And the words well reserve addition is the same type of quality. So we don't expect any degradation in the quality at all as we transfer from the old North Goonyella reserves to the Wards Well reserves, same quality.
Chris LaFemina : That's very encouraging. So the markets are beginning to believe in kind of stronger for longer met coal pricing. And you're generating cash flow now, you're pivoting to growth in met coal you have fairly substantial organic growth, but would you consider looking at M&A opportunities, particularly in met coal, if they were to arise? Or is really the focus now on delivering the organic growth projects and continuing with the capital returns?
Jim Grech: Yes. Chris, our focus is on delivering the shareholder returns and the organic growth is always the topic of our list because it's the least risk. We have the most control over that. And that continues to be our focus internally. Now as M&A comes along, we opportunistically look at anything that comes our way. We always take a look at it, Chris. Now how active we are as a different thing. But as things come our way, we take a look at it and then make a determination if it could benefit our shareholders or not, but it's down the list. Organic opportunities are at the very top of the list.
Chris LaFemina : Yes. What's nice about the buyback is that you're basically increasing your production on a per share basis at a low valuation and is ramping up met coal volumes and reducing your share count. The leverage of the met coal market obviously becomes much greater. So we -- just an observation, we definitely like that, and good luck with it all.
Jim Grech: Thank you, Chris. That's the exact same observation we have too.
Operator: The next question comes from Michael Dudas of Vertical Research Partners.
Michael Dudas : Two questions. First on thermal U.S. Jim, you mentioned about some -- and we've seen in the markets some coal plants closures being deferred given the dynamics on grid and reliability, etcetera. Maybe you could share with us like relative to maybe 6 to 12 months ago and how you're looking at your customer base? And has there been any major changes on over the next several years or maybe even sooner, the retirement on your customers and where you're selling the coal, does that change? Is that maybe it will lengthen the opportunity to monetize your reserves in the U.S.? Just wanted to get a thought about that.
Jim Grech: Mike, the discussions we have with our customers is -- one of the things that we've noticed is now desires to have longer-term contracts put in place because of the combination of the concern about the reliability of supply and the potential for plants having longer lives than was originally thought to be the case. And I would say that the conversations we're having with our customers and what we're seeing is plants that maybe we're going to close in the next few years, looking at them going out to 29 or 30. It's not -- nobody is making commitments or predictions gone that, but it is a very good trend to see that -- see that occurring. And again, because I'm sure you know that this year is reliability, right? The reliability of the grid backed up by baseload power and the need to keep these points around to do that. So it's an encouraging start getting us through stronger through the end of this decade, and we'll see where it leads to from there.
Michael Dudas : I appreciate those thoughts. Secondly, as you know a little bit of market intelligence on your part, as you look out maybe to the second half of this year, do you think there's a better chance for the thermal markets to recover nicely or see pressure on the seaborne net side, given where fundamentals are I agree with Chris is out about the short scarcity of met coal, but how are you thinking given what you're seeing? And is relative to, of course, the hives and gas prices, how that plays through with on the supply side and such for move over the next 6, 12 months?
Jim Grech: Yes, Mike, before we answer to make sure we got the question clear. Are you talking about seaborne thermal and seaborne met and between them and --
Michael Dudas : Yes.
Malcolm Roberts : Yes, Sure. I'll take that. When it comes to the seaborne met market, we are quite encouraged by what we saw during Q4 with increased crude steel production rates outside of China, and we expect those rates to continue during Q1 and into Q2. And we also are encouraged in the metallurgical coal space by very constrained supply. So supply having got back to those 2019 levels, which we use as a bit of a baseline to look at that. And we still see supply challenge moving through 2024. Turning to Thermal coal. Newcastle Coal is in -- is in solid demand. However, at times, we get a little ahead of the demand. So we sit right now with prices around $120. We think that supply is a little ahead. We had quite a strong supply growth out of East Coast Australia during Q4. But look, we think the prospects for Newcastle thermal coal, and that's the coal that we really put into the export market to improve as we move through the year. as we've still got inventories to be taken down in the Northern Hemisphere. So we're optimistic about the rest of the year.
Karla Kimrey : Operator, do we have another question?
Operator: The next question is a follow-up from Lucas Pipes of B. Riley Securities.
Lucas Pipes: My first one is on Wilpinjong. I looked at the technical report some time ago, and it that's last year's technical report, I believe. And it showed kind of lower volume starting this year. I wondered if you could maybe comment on that, I guess, we'll get an updated version with the 10-K. But if you could maybe comment on kind of mine of life of Wilpinjong and your outlook on production for this year and the coming years? And then I guess you have to kind of net that against what goes domestic versus export. So if you could comment on that and kind of the net contribution of Wilpinjong to your Seaborne thermal portfolio over time? We would really appreciate the color.
Jim Grech: Yes. Lucas, we'll start. We'll have Malcolm talk about the contracting of the domestic versus the export and some color on that to the extent that we can talk about that. And then we'll follow up with your question about the reserves and the outlook. So Malcolm, if you could go first.
Malcolm Roberts : Yes. Look, we -- as we move past 20 -- 2027, 2028, the proportion of export coal, we expect to increase. However, there are some extension options and production options to increase based on that as well at Wilpinjong, which we can -- we've got a very busy drilling program there at the moment.
Mark Spurbeck: Year-over-year, we're probably looking at -- it's only about 300,000, 400,000 tons lighter in '24 versus '23 in -- so -- and as Malcolm says, I would say the export volumes are probably similar year-over-year as well. So pretty consistent performance there. And obviously, we already mentioned the better performance out of the Wambo time increasing the proportion of new gas.
Lucas Pipes: Got it. And should I think about kind of the higher output versus the prior plan as efficiency gains and unanticipated kind of optimization opportunities. How should I think about that?
Mark Spurbeck: Yes. I think it's a combination of both of those things, Lucas. We continue to mine various looking forward, going out beyond '24. Certainly, there's studies. We talked about that earlier, that we are conducting. There's several expansion opportunities, and we'll continue to study those. And when we get further down the line, you'll see an updated production profile in a technical report.
Jim Grech: Lucas, maybe also you're talking about Wambo would come out of that longwall move at the end of last year and have the long haul running this year, too. I'm not sure what time frame you're talking about with the tonnage profile.
Lucas Pipes: Yes, that was kind of Wilpinjong over the next -- a couple of years -- 
Jim Grech: Wilpinjong. Okay, I'm sorry. Go ahead.
Lucas Pipes: No, very helpful. I appreciate that discussion. I guess some helpful context. Follow-up on Wards Well. I think earlier you mentioned $50 million of capital this year. I wondered if you could maybe expand on what you would envision to invest in with that capital? Is it machines? Is it infrastructure for the eventual extraction of those reserves, would appreciate your comments on that?
Mark Spurbeck: Yes. I think it's a combination of both, Lucas. I mean there will be some -- and certainly, we'll begin driving an underground development towards those reserves, which is all capitalized. So that's the preliminary estimate of $50 million for 2024.
Lucas Pipes: Okay. That's helpful. And then on the domestic side, I wanted to kind of ask about your contract portfolio beyond this year. Can you frame up kind of where the book stands as a percentage of this year's production for 2025? And ballpark, what sort of pricing direction should we anticipate?
Jim Grech: Yes. Lucas, for 2025, our domestic book right now, if we look at the PRB and we gauge it against the midpoint of the guidance this year, we're better than 60% committed. And the other U.S. thermal same way if you look at the midpoint of guidance this year and you take that to 2025 or about 75% committed. And we have not yet issued any outlook on pricing for 2025.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jim Grech for any closing remarks.
Jim Grech : Well, thank you all for joining us today. I'd especially like to thank our employees for remaining focused on safety and for continuing to execute on our various initiatives. I'd also like to thank our investors, customers and vendors for your continued support. Operator, that concludes our call.
Operator: The conference has now concluded. Thank you for attending today's presentation, and you may now disconnect.